Operator: Good day, ladies and gentlemen, and welcome to the Evolving Systems 2013 Year-End Earnings Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Dan Moorhead, Vice President of Finance. Please go ahead.
Dan Moorhead: Good afternoon, and welcome to Evolving Systems 2013 year-end earnings call. I'm Dan Moorhead, Vice President of Finance and joining me today is Thad Dupper, Chief Executive Officer. During the course of this call, we will be making forward-looking statements based on current expectations, estimates and projections that are subject to risks. Specifically, our statements about future revenue, expenses, cash, taxes and the company's growth strategy are forward-looking statements. Listeners should not place undue reliance on these statements. There are many factors that could cause actual results to differ materially from our forward-looking statements. We encourage you to review our publicly filed documents, including our SEC filings, news releases and websites for more information about the company. With that, I'll turn the call over to Thad.
Thad Dupper: Thanks, Dan, and good afternoon, everyone. I'd like to begin with our bookings results which clearly were the highlight of the quarter. Specifically, our Q4 licensing service or LS bookings which were up 43% year-over-year. This followed our third quarter, where bookings were up 58% over the second quarter, as we progressively gain momentum throughout 2013. Also of note fourth quarter dynamics and allocation or DSA LS bookings were up a 152% year-over-year. For the full year DSA bookings were up 40% to $11.3 million, a new single year record for DSA. Another 2013 achievement was in the area of new customer wins. In total for 2013, we closed four new DSA accounts also a record. Our growing DSA customer base underscores our leadership position in the growth segment of SIM card activation. Looking at 2013 as a whole, I would characterize the year as a year that started slowly but finished strong. Specifically second half LS bookings increased 51% to $9.8 million from $6.5 million in the first half. As a result, we entered 2014 with an LS backlog of $7.1 million up $1.1 million sequentially and up $400,000 from a year ago. As noted in our announcement today, in Q4 we took a $600,000 restructuring charge in connection with the acquisition of Telespree Communications. In addition, we occurred some one time professional fees and initial integration costs which totaled about 800,000 for the quarter and clearly impacted our profitability. Without these onetime charges, our profit indicators, operating income, net income and adjusted EBITDA would have been stronger. That said in spite of the M&A cost we delivered adjusted EBITDA margins of 25% for 2013. As a result of our order momentum and continued profitability and cash flows we’re pleased to report our Board of Directors has declared a first quarter dividend which Dan will cover in a minute. As I do every quarter, I'd like to provide some color on our DSA deployments. In January we announced we crossed some very important milestones with DSA for 2013. We now have over 600 million license connections worldwide with DSA which as a point of comparison is larger than the user base of Twitter or WhatsApp. In December we activated over 4 million DSA SIMs during the two week holiday season, also a record. And we set a new record of over 247,000 DSA SIM cards activated in a single day by a single carrier. I share these figures with you to highlight our production credentials, with every SIM card we activate our DSA software becomes more production proven and more importantly with every SIM card we activate our customers rig the benefits of DSA. Turning to Tertio Service Activation, or TSA. TSA had a strong Q4 with LS bookings of 2.8 million a high point for the year. As I mentioned earlier how we increased DSA momentum in the second half of 2013 the same is true for TSA. LS bookings for TSA was 70% higher in the second half of the year compared to the first. As we’ve previously discussed we continue to categorize TSA as a mature product where most of our bookings originates from our installed base. That said, in 2013 we were successful in closing a new TSA account through our partnership with (inaudible) Systems. For the year TSA LS bookings were down 12% at $8.4 million. However that’s off with a strong 2012 performance when our largest TSA account had a major upgrade associated with their migration to LTE. And now a few comments regarding our recent acquisition of Telespree. To remind you we announced this acquisition in October last year, during the year in addition to closing the year with strong bookings we were also busy closing and then integrating Telespree into Evolving Systems. More recently we conducted Telespree product training at our January company kick off meeting. And two weeks ago we showcase the Telespree Solutions at Mobile World Congress in Barcelona to a good response which is a good takeaway to my comments regarding our 2014 direction. We are finalizing our launch plan for our SaaS DSA solution where we offer DSA in the cloud. In addition to enhancing our recurring revenue model this new solution will make DSA a buyable option for carriers who could benefit from DSA’s features but don’t have the budget or the staff for a premise-based DSA solution. We estimate that SaaS DSA solution will increase our addressable market for DSA by more than 30%, expanding the market by potentially 100 new customers. In addition to the launch of Cloud DSA we will shortly be delivering our LTE support for DSA. DSA, like most other critical network services needs to be able to coexist and support both 3G and LTE with the ability to seamlessly roll over from one technology to the other. Already two carriers have signed as initial customers to test our LTE version of DSA. We are also working on a major enhancement to DSA to lifecycle number in [thin] management. This will broaden DSA’s use for number management with enriched number selection and a new number of reclamation capability. Number reclamation is becoming a critical issue with country’s deal with the explosion of connected devices and as a result are encountering number shortages. Just last week UK regulated outcome announced that since 1977, the UK has activated over 470 million SIMs or around seven times the entire UK population, but today only a fresh of those cents remain active. That equates to almost 400 million numbers inactive or domain. Regulators around the world are dealing with number shortages and are considering a variety of plans to recycle inactive SIMN in order to avoid number plan exhausting. DSA with its new number reclamation capability as well as DSAs core functionality can greatly help carriers and regulators to avoid number shortages. And with TSA, we are working with our European customers as they prepare to support the new EU roaming mandate. As listeners may know the EU is looking to eliminate or dramatically reduce roaming charges that subscribers encounter as they travel throughout the EU. In order to implement EU roaming the activation while it needs to be modified and that represents incremental business for TSA. I will close with the summary of our 2013 achievements, we generated strong bookings momentum over the course of the year with second half orders up 51% over the first half. DSA bookings grew 40% year-over-year to $11.3 million a new record. We added 5 new accounts through 2013, one new TSA customer and four new DSA customers, the most new DSA customers added in a single year. We continue to be recognized as the clear market leader in this space as we positioned DSA as the new standard in some card activation. During 2013 we close a record level of FUA license renewals. As I invested in our FUAs the term we use for license renewals for DSA. In 2013 three accounts expanded their DSA license for another new record. On the IP front, we expanded our IP portfolio significantly in 2013 with the addition of 14 U.S. patents, 10 of which are specific to the activation and attachment of a SIM card in mobile device through a wireless network. As you know protecting a company’s IP is extremely important for technology companies. In 2013 we became active in the M&A market with the addition of SaaS based provider Telespree which has helped and accelerated our introduction of cloud based DSA. And we continue to generate strong profitability and excellent cash flows which enable us to increase our dividend twice in 2013. Based on these progress points as well as our product plans we believe we are well positioned to continue to grow our market share and as a result increase shareholder value in 2014 and beyond. On a personal note, I’m sure that Christian Brothers would be disappointed at (inaudible) Manhattan College, if I didn’t recognize and congratulate them for winning the MAC Tournament and their first date in the MCAA Tournament since 2004; GoJaspers. With that I will now turn the call over to Dan.
Dan Moorhead: Thanks Thad. Revenue in the fourth quarter was $6.6 million compared with $6.9 million in Q4 last year. Q4 LS revenue was $4.1 million versus $4.6 million last year and customer support or CS revenue increased slightly to $2.4 million from $2.3 million. Total cost of revenue and operating expenses in the fourth quarter increased by 19% to $6 million from $5.1 million, primarily due to the addition of $600,000 in restructuring cost and $200,000 in transaction and integration costs related to our Q4 acquisition of Telespree, as well as the Telespree expense base from the acquisition day forward. As a result of the Telespree related cost in the quarter, our operating income was lower at $500,000 versus $1.8 million in the fourth quarter last year. Fourth quarter GAAP net income was $800,000 with diluted earnings per share of $0.07, this compared with GAAP net income of $1.4 million and diluted earnings per share of $0.12 a year ago. Adjusted EBITDA in Q4 was $1.2 million versus $2 million in the same quarter last year. Evolving Systems generated $1.4 million in cash from operations in Q4 compared with $1.8 million of cash used in operations in Q4 a year ago, a $3.2 million improvement.  On to our full year results. The company reported revenue of $25.1 million in 2013 compared to $26.2 million in 2012. On a year-over-year basis, LS revenue totaled $16 million versus $17.6 million a year ago and CS revenue was $9.1 million, up from $8.6 million. Total costs of revenue and operating expenses declined to $20.1 million in 2013 from $20.7 million in 2012. Gross margins increased to 71%, from 69% a year ago. 2013 operating income declined to $5 million from $5.6 million year-over-year. Current year operating income included approximately $1 million in comp associated with the Telespree acquisition. The company reported other income of $39,000 in 2013 compared with $1.4 million in 2012. To remind you, in 2012, we had approximately $1.4 million in gains and interest on marketable securities. These securities were purchased with the proceeds from the sale of our Numbering business in 2011 and sold during the second quarter of 2012. GAAP net income was $3.8 million in 2013, down from $5.6 million in 2012. The decline was primarily due to 2012’s $1.4 million gain on marketable securities along with the cost related to the Telespree acquisition in 2013. Diluted earnings per share were $0.32 in 2013 compared with $0.48 a year ago. Adjusted EBITDA in 2013 was $6.3 million versus $6.5 million last year. We generated $8.6 million in cash from operations in 2013 versus $200,000 in cash used in operations in 2012, reflecting deliveries and strong collections on DSA and TSA projects during 2013. Bookings and backlog: We define bookings as new, non-cancelable orders expected to be recognized as revenue during the following 12 months. In Q4, total bookings were $7.4 million, a 5% increase compared to Q3 and an increase of 18% over Q4 last year. LS bookings rose to $5.2 million, a 10% increase from Q3 and a 43% increase over Q4 last year. DSA LS bookings in Q4 were $2.3 million, up slightly from $2.2 million in Q3 but up 152% from the $900,000 reported in Q4 last year. TSA LS bookings were $2.8 million, up from $2.5 million in Q3 and up from $2.7 million in Q4 2012. CS bookings in Q4 were $2.2 million down from $2.3 million in Q3 and $2.6 million in Q4 last year. In both cases, the decrease was primarily due to the timing of renewals. Turning to full year bookings, total bookings were $26.2 million, up from $24.6 million in 2012. LS bookings came in at $16.4 million compared to $16.6 million last year and CS bookings were $9.8 million, up from $8.1 million in 2012. DSA LS orders were $7.9 million, up from $6.9 million last year. TSA LS orders were $8.4 million compared to $9.6 million in 2012. Total backlog at December 31st was $12.2 million which is up from $11.4 million in Q3 and $11.1 million at 2012 year-end. LS backlog totaled $7.1 million, up from $6 million in Q3 and $6.7 million last year. DSA LS backlog grew to $4 million, up from $3.5 million in Q3 and $3.7 million last year. TSA LS backlog was $3 million, up from $2.6 million in Q3 and flat compared to last year. CS backlog was $5.1 million compared to $5.3 million in Q3 and $4.4 million year-over-year. Balance sheet highlights: Cash and cash equivalents at December 31st were $13.8 million, up 56% from $8.8 million at 2012 year-end. Working capital at year end was down just slightly to $13.7 million from $13.9 million a year ago. Dividend update: As reported in our earnings release today, our Board of Directors has declared a first quarter dividend of $0.10 per share payable March 31, 2014 to stockholders of record on March 24, 2014. I’ll close with the usual reminder that we remain a company where receipt or delay of a single order can have a significant impact on our quarterly results. Accordingly, we continue to advice that it’s more accurate to judge our performance on an annual rather than quarterly basis. With that, we thank you again for joining us today. And we are now happy to take your questions. Operator?
Operator: (Operator Instructions). And our first question comes from line of Mike Crawford with B. Riley & Company. Your line is open.
Mike Crawford - B. Riley & Company: Thank you. Thad, I know you have 18 DSA enabled carriers and over 600 million mobile users with SIM cards using your DSA solution that was interesting comparison, that’s larger installed based than WhatsApp up. But to what extend have operators been able to market to these customers using DSA today and what types of things do you envision that could do in the future?
Thad Dupper: It’s a great question, Mike. Today carriers using DSA two ways, one is to achieve operational efficiencies by not assigning a number to a SIM until it’s activated. And as you know that greatly simplifies the supply chain and logistics of managing ordering and activating SIM cards. But we also have customers using what we call the personalization features of DSA, which include language selection, number selection, tariff selection, and we’re seeing a lot of interest in that. And it’s a differentiator on the competitive front. Now beyond that we’re looking and making enhancements to the product that increases the personalization based on device type location but also we’re looking at the ability to integrate DSA and the activation experience interlinking with this a new subscriber’s social media app. So for example if you activating a new SIM and you have an existing Facebook account, that new number on that SIM could be linked automatically to your existing Facebook account, if the device is capable like a smartphone to support the Facebook app, we could download the Facebook app during the activation experience. Beyond that you can imagine the types of download possibilities for incremental revenue and marketing mobile ads on the phone during the activation experience. So we’re very excited about where the product is today, but we’re even more excited about how carriers can leverage the activation experience and DSA integrated into some of the mobile apps and the social network apps that users have today.
Mike Crawford - B. Riley & Company: Okay. Thank you, Thad. And then second question relates to the cloud-based DSA. So we’ve been talking about this for a while. And could you just elaborate a bit further on what -- as you’re finalizing your launch plans, when this might occur and also how Telespree figures into that? Thank you.
Thad Dupper: You are right about that. And it sounds I do my staff calls. So, we’re in a very last phase of getting ready to launch, and the launch will occur this month to tip a little bit to our investor community. And to the second part, Telespree has been very, very important and valuable to making sure the launch is right, especially on the operational front as you know, all their revenue is based out of cloud-based solutions. And their experience with bringing those types of platforms to market was very, very valuable. And as a result, I think our launch is going to be more successful, A; and then B, we think the operation will be smoother. So, we’re pleased on both fronts on A, being able to launch this product in the next couple of weeks; and then the B, the contribution Telespree made to SaaS DSA which is what we’re going to be calling the product.
Mike Crawford - B. Riley & Company: Thank you. And then final question, just real quick on -- have you noticed, easier sale on DSA to carriers that are now competing against other carriers that have DSA?
Thad Dupper: Well, it’s a good point. And we have noticed that when we have DSA in production in A market, it certainly gets the attention of the other carriers in the market. Last year alone, we sold DSA in two markets to two additional of the four new wins we got, two of them where with carriers where DSA was already in production and that’s in the Philippines and in Africa. And we certainly believe that when DSA goes into production and puts a lot of competitive pressure on the other carriers in that market, and we think that will continue and we think it will accelerate. So, we feel good about not only adding new customers in new markets, but adding more customers in our existing DSA market.
Mike Crawford - B. Riley & Company: Alright. Thank you very much.
Thad Dupper: Thanks Mike.
Operator: Our next question comes from the line of Kevin Tracey, Oberon Asset Management. Your line is open.
Kevin Tracey - Oberon Asset Management: Thank you for taking my question. First, I wanted to ask if you all be willing to disclose the number of DSA activations you had during the year. And then if so, if you’d be able will going to go further. And I think those expectations you all talked about on the last call was that you have four customers that will be paying secondary activation revenues going forward and if you’d give us a sense, a broad sense of how big of their share of that activation number is?
Thad Dupper: Well that’s two questions there Kevin. So the first question, we do put out how many activations we’ve done. We probably do for another milestone what we call a milestone press release, but we’ve activated hundreds of millions of SIMs and activate millions of SIMs every month in Africa alone, but we can get you data, but it’s hundreds of millions of activations. On the second point, as we said before, there will be four customers in reload status in 2014. We’ve reloaded three of them in 2013, two of them towards the end of the year. We don’t announce the amount, but I would say, I’d be comfortable saying that we’ll achieve well over $1 million of revenue in 2014 from those customers, I’m assuming you agree with that Dan, $1 million is the comfortable number?
Dan Moorhead: Yes.
Thad Dupper: And then just to remind you and all our other investors that $1 million is an email basically with the [key]. So it’s 100% gross margin. So it’s very lucrative for us.
Kevin Tracey - Oberon Asset Management: Okay, great. And how is that revenue accounted for in backlog?
Thad Dupper: Dan why don’t you handle that?
Dan Moorhead: Well what happens as it gets really, in most cases it gets booked in revenue in the same period, so it really doesn’t stay in backlog. So when we get the order when they buy the new tranche that amounts would all go into revenue, so theoretically it goes into backlog and then comes right out of backlog because we recognize it as revenue.
Kevin Tracey - Oberon Asset Management: Okay. And then Thad you talked about some new interesting ways carriers might be able to monetize subscribers for the activation process. I am curious to [drag] and ask about the model of monetization and how Evolving Systems will share in that or not, will there be for instance if Facebook is preinstalled or not feel the carrier strikes with Facebook will there be any kind of revenue share with Evolving System or how do you anticipate that will all work?
Thad Dupper: Well, we certainly hope so. Now let me just refine what you said, if the application is preinstalled on the phone will then our activation experience wouldn’t be involved. But what we think is let’s say Wal-Mart wants to get their mobile app on a phone, it’s very hard to get a mobile app on a phone if you don’t ship the phone with the mobile app on it. Now the one thing we’ve learned during the activation experience whether you are activating an iPhone in the United States or feature phone in Indonesia, subscribers’ behavior is the same and that is during the activation experience the subscribers attention is glued to the phone because if the phone doesn’t activate for many of them their life doesn’t continue, that’s how important the phone has gotten, it’s ridiculous, but it’s true. So during that period when the phone is activating, we have a great opportunity to up sell. So let’s say Wal-Mart wants to get the app on the phone, we think that subscribers and carriers rather could ask a question during the activation experience where the subscribers’ attention is glued to the phone, would you like to download the Wal-Mart app, would you like to download the Home Depot app, would you like to download Facebook? And if they say yes, we will first complete the activation which we have to do and then we’ll download the app subsequent. Now when we do that we suspect that the carrier will charge the retailer or social carrier some fee for the download of the app. In that, we want to participate. So we think we will also get a fee for downloading the app. Now this needs to be worked out, but the potential is very strong and we think monetizing the activation experience with app download is a great feature for us and we are very excited about it.
Kevin Tracey - Oberon Asset Management: Okay, great. Well, thank you.
Operator: (Operator Instructions). Our next question comes from line of Donna Jaegers with D.A. Davidson. Your line is open.
Donna Jaegers - D.A. Davidson: Hi guys. Congratulations on very strong bookings. Can you talk a little about currency hedging and given the Russian term out in the market, what you can do there to, I don’t know if you have FUA already from your Russian carrier, but what you can do to sort of hedge that risk?
Dan Moorhead: Hey Donna, it’s Dan. I think we’ve talked about it before, but I’ll reiterate again. A lot of the contracts we do in Russia and lot of the -- I guess Middle East, Africa and Asia, we do in U.S. dollars, it just seems to be a currency that most companies are comfortable with. And we see that currency more often than we do with their local currency. So the hedging on that perspective hasn’t really been an issue.
Donna Jaegers - D.A. Davidson: Okay, fantastic. And then….
Thad Dupper: And then perhaps you may reload with Russia, but we are working very closely with them. We just had a project review this morning; it amazes me, the amount of projects we are doing around the world that have higher visibility to the operators, so certainly MTS us is one of them.
Donna Jaegers - D.A. Davidson: Okay. And then currency hedging in Latin America; are you also priced in dollars there or…
Dan Moorhead: Most times in Latin American we’re in dollars as well, yes.
Donna Jaegers - D.A. Davidson: Okay. Good deal.
Thad Dupper: I mean we are primarily in dollars, pounds and a little bit of euros, little bit of Swiss francs, but that’s not in, right?
Dan Moorhead: Yes. That’s correct.
Donna Jaegers - D.A. Davidson: Okay. And then on Telespree, since Telespree brought [MVNO] products to you guys already, can you talk a little about what the prospects are for the MVNO market? And then how much maybe Telespree contributed in the quarter?
Thad Dupper: Well, the first question, MVNO is certainly some they do, but what I would say based on the reaction we got from Mobile World Congress two weeks ago where we're focused on what we call mobile device enablement and we demonstrated a product called enterprise tablet where a carrier provides a certain amount of bandwidth to an enterprise 10 gig a month. And then our product allows the enterprise to manage that 10 gig and spread it by department by user and manage the usage. So mobile broadband is very important and this is the capability that Telespree can deliver through the cloud. That could be sell through an MVNO and MVNE, but we -- right now we're selling it and marketing it directly to operators. The other area of interest that mobile world from the Telespree side was M2M connected devices. So I would say we're leading with enterprise tablet in M2M. MVNO is there, but we’re looking at these other two initiatives first. And then I’ll let Dan handle the other question.
Donna Jaegers - D.A. Davidson: Just Telespree’s contribution in the Q4?
Dan Moorhead: In Q4, so we don’t disclose exactly what their results were, but I would say their revenues are included within DSA.
Thad Dupper: We're going to report it as part of the DSA segment and we're not breaking assets, it’s not materials, Donna.
Donna Jaegers - D.A. Davidson: Okay. And then on Telespree’s M2M product since they have launched that I guess right as you guys took them over, I think it’s called Dataspree. Is that giving any traction in the transportation market?
Thad Dupper: I would say, again coming back to mobile world, there is interest and I was pleased because some of our folks were telling us out in the emerging markets, the international markets perhaps M2M wasn’t as higher priority. So that's clearly not the indication we've got from the show two weeks ago. So our focus -- and then the reason we acquired them was really to bring that product base to the international market. Now I would also caution and advice our investors that, sales cycles both in the U.S. and outside the U.S. are not measured in weeks or months, they are usually measured in quarters and years. So, I want to make sure we set the right expectation. There is good interest in those products, but I'm not expecting a momentarily close of the Telespree products within Q1. But every success a new customer begins with initial customer calls and I would say our initial customer calls are generating a good level of interest.
Donna Jaegers - D.A. Davidson: Great. And then one last question on the DSA cloud or the SaaS DSA product, given that that's a much more the implementation time has obviously shortened a lot, what should we expect as far as the revenue cycle there? Are you starting this out in the market or will you start with some data customers or can you…
Thad Dupper: The first customer or two that elects to use SaaS DSA will probably get a good deal, as you know; we want to get a good reference. And so, I don't expect the revenue for the first couple of deals will be significant. In addition, the model is a smaller front and then a more recurring revenue thing. So I think that revenue will come in slower, but over (inaudible) the customer it should be more profitable. So I would say, SaaS DSA revenue for the year probably won't be high, but if we can close a couple of deals, I think we'll have a good momentum and good traction. What's going to drive our growth this year without a doubt is premise DSA license upgrades to our installed base with DSA. And FUA license expansion reference DSA customers.
Donna Jaegers - D.A. Davidson: Okay, great. I’ll get back in the queue. I don’t have any other questions right now.
Thad Dupper: Thanks Donna.
Operator: And I am not showing any further questions at this time. I’d like to turn the call back over Thad Dupper for closing remarks.
Thad Dupper: Well, thank you for joining us. And we look forward to giving you an update in the May timeframe on our Q1 results. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. And you may all disconnect. Everyone have a good day.